Peder Holk Nielsen: Good afternoon, and welcome to Novozymes' first-half 2014 conference call. My name is Peder Holk Nielsen, and I am the CEO of Novozymes. Our presentation today is expected to last around 20 minutes; and afterwards, we will, as usual, have a Q&A session. With me today, I have the full Executive leadership team, and the IR team. Please take a look at slide number 2, and move ahead to slide number 3 for a summary of the first half of 2014. Novozymes had a good first half of the year, and today we increased the expectations to full-year profit and maintain our outlook on sales growth. Sales in the first half were in line with expectations and up 8% organically. As usual, there are a number of moving parts, ups and downs. It's seldom our market segments develop just as we planned, and 2014 is another year that brings proof of that. Andy and Thomas will discuss the details in a minute. But in short, things have developed better in bio energy and feed, whereas household care, BioAg, and Starch fall short of what we had expected. But the bottom line is that we grew 8% in the first half and thanks to our diversified growth platform we continue to expect organic sales growth of 6% to 9%. With the exchange rates of yesterday, this is expected to translate into 4% to 6% growth in Danish krona. Earnings were strong. We continue to improve productivity and drive a favorable mix effect with innovation. As we believe this will continue in the second half, we increased outlook for EBIT and net profit growth to now 9% to 11%. Lastly, the Executive team feel, we are making good progress on our priorities to strengthen our growth capacity and opportunities. The four growth platforms we have in our portfolio today are advancing, and we continue to drive innovation and opportunities in the existing businesses. Our capacity to innovate is key for our success, and we are running full speed ahead. Now, we’re going to take a look at the major events in the main segments. Thomas, please?
Thomas Videbæk: Thank you, Peder. Please turn to Slide 4. Today we’re going to start with the business development platforms. In Agriculture & Feed sales developed positively in the first half with organic sales growth of 4% driven by Feed. Feed has done well and better than we thought it could do in the beginning of the year, and we expect that it will continue to do well. The competition within phytase enzymes remains strong. Our portfolio solutions is not unique, but it’s competitive and we are getting good traction with our latest introduction of high-release solutions. Furthermore, we still see good growth on ProAct, and our energy solutions are also doing well. In BioAg, sales are slightly last year’s level due to timing of sales with one specific customer. The timing issue was expected. In North America, we delivered a decent year but it felt short of our ambitious expectations. The season has been a bit tricky, due to the late planting season and the cold winter. We still grew organically but it’s at a lower level than we had expected. In Q1, we talked about timing between quarters and we see this play out as expected. In the other important market for us, Latin America, the season is developing as we speak and here things looks good. With regard to the BioAg Alliance, things are progressing as planned. Commercially, the joint BioAg team is doing a good job. And from an R&D perspective, things are looking promising as we establish the organization and the working relationship. In 2014, we are planning to test hundreds of strains on around 170,000 yield plots. So already this first year, we are testing around three times more than we would have been able to do on our own. This will ramp up significantly over the next couple of years as we’ve talked about earlier. The result from the 2013, tests have created a good amount of optimism. Monsanto showed some results with some of our commercial products back in January. They’ve also tested some novel strains and the best performing ones show some very encouraging year one results in corn. I’ll actually next week, on the 20, be present at an investor event held by Monsanto where we will present and discuss these results as well as the rationale of the Alliance. No material data will be shown at this event, but if you’re interested in the Alliance, please take a look at the Monsanto investor relation website when they publish the material and the data from their whistle-stop tour in Iowa in the 20. Turning to Technical & Pharma, we experienced moderate growth of 3%. Pharma is doing well and is the growth driver in this area, it’s both the enzymes solutions as well as the albumin that’s delivering growth. We have not yet seen royalties from albiglutide sales from GSK, but they should start slowly in the fourth quarter. Lastly, on biomass conversion, we are working hard to enable commercialization with our partners. In Italy, Beta Renewable is working on the facility in Crescentino. Here, all the summer, a number of upgrades are being put in place and we are looking forward to receive fresh data over the coming months. The plants in the US and in Brazil that are expected to come on stream this year are all moving ahead. So we are still looking at startup of five more plants in 2014. These first plants remains incredible important for the rollout of the entire industry, so our eyes are fixed on helping our partners succeed. I’ll pass the word onto Andy Fordyce. Andy, please?
Andy Fordyce: Thank you, Thomas. I’ll start out by talking broadly about our sales performance and then focusing on household care and bioenergy. 8% organic growth after the first six months is satisfactory. The first quarter was strong; the second quarter had a high comparable level and was a little soft in some areas as Peder said. Looking at the food and beverage market, sales developed well across most major categories and sales are up by 5% organically in the first six months. Particularly, sales to the baking industry and healthy concepts have performed well. Brewing also developed well. In Baking, our fresh keeping business performed satisfactory and we delivered solid results and other baking application segments. So growth and baking has stepped up as we had anticipated. Starch in China, on the contrary continues to be a weak spot. At this time, corn prices are high in China. This is cutting into customers’ margins and has resulted in reduced activity as they adjust to the market conditions. Beside Starch, Food & Beverages are doing okay and we’re continuing to work on taking growth up a notch in this area. Please turn to Slide 5 for a little more detail on Household Care and Bioenergy. On the left-hand graph, we show quarterly Household Care results. This historical trend shows that our Household Care business has significant quarter to quarter variability. This variability results from various factors including consumer sentiment, market dynamics, customer strategy and our ability to introduce innovation, and even routine things like inventory and order patterns. Looking at 2014, 5% organic growth in the first half and the full year expectation around that level is below where we expected to be. The slower growth for our Household Care business in Q2 was a result of several factors. One factor was heavy promotion in marketing activity by detergent producers in North America and Central Western Europe as they compete for consumers. This has resulted in a dynamic market share environment in premium and mid-tier brands which was short term negative for our business. Looking at the second half of the year, some of the above are expected to ease a bit and we expect to launch new innovation as part of our ongoing efforts to support growth in Household Care. Overall, the key drivers for our Household Care business are intact. Our customers remain highly interested in innovation that can help them build brands, improve detergent formulations, reduce washing temperature and replace chemicals. We have a strong value proposition to serve these needs, and a healthy innovation portfolio to support further growth opportunities in Household Care going forward. Now turning to sales and bioenergy shown on the right-hand side of Slide 5. We continue to show solid growth results in this market. Our customers in the ethanol market in the US had a good first half. Production was up about 9% and margins have been good throughout the period. Market demand for ethanol has been solid and corn prices are favorable, meaning ethanol producers are running their plants at high utilization rates. In Novozymes, we’ve continued to convert customers over to our new innovative solutions propelling our growth above the ethanol output. 26% organic sales growth in the first half is strong and very satisfactory. Today, about one-third of all US ethanol is produced with one or more of the solutions we’ve launched over the last 18 months. We’ve been pleased with our ability to work with a number of customers who are particularly focused on quickly adopting proven innovation that helps them achieve strong bottom line results. As we see it, there’s still more to go for with these yield enhancing solutions with customers. But the growth rate and penetration is naturally slowing as we’ve converted most of the early adopter segment. We’ll continue to maximize the opportunities with these solutions and make sure that more customers get on board. We’re focusing on getting new trials and using our learnings from this fast rollout to generate yield and bottom line benefits for ethanol producers throughout the market. At the same time, we advance the pipeline for novel solutions to create the next wave of growth and we should be in the market with new innovation in the coming period as we continue to push for even more yield and customer value. Peder, would you elaborate on this, please?
Peder Holk Nielsen: Thank you, Andy. I do so here on Slide 6. Bioenergy is an important market for Novozymes and one of the large focus areas in my organization, too. We have been working in the biofuel space for a plus 15 years. We have throughout times, had competitive solution and it thrills me to see just how well our latest solutions are performing. They are making a difference to our customers, a difference to the environment, and a difference for Novozymes. On this slide, I have mapped out how we look at Bioenergy. Our strategy is based on three pillars. The first pillar is to continue along this yield journey for corn and other grain based ethanol production. We really embarked upon this journey with Avantec and Achieve. 5% yield improvement is a lot, and, as Andy said, we have more innovation coming through to unlock even more value. Biofuels is in a transition period. The days of strong volume growth in primary crop biofuels are gone, for now at least. The markets are still growing, but there’s a large opportunity on top of that for making corn production even more efficient. There is simply more fuel feed and fiber to produce – be produced from the same bushel of corn, and we are driving hard at enabling these efficiency improvements at the plants. The second pillar is our biomass conversion business. This business is in a different stage of maturity. It is standing on the starting line, ready to go. Enabling commercialization with our partners is critical. We are doing what we can; development technology, optimize for their pre-treatment solutions, taking down the total production cost. These first plants that we see come onstream are very important for our learning curve, and the industry’s future success. So we have our eyes set on helping our partners to succeed. The third pillar we call new opportunities. Today, more than 100 billion liters of biofuel are produced and we basically only have solution for half of that market. They are – we’re thinking where we can play in terms of regions and feed stock. We don’t yet have a commercial solutions for either biodiesel or sugarcane processing, but I feel confident that that will change soon. Currently, we are test marketing and learning about biodiesel production, and, as things look today, we should launch our pilot solutions within the next year. With sugarcane, we are exploring alternative applications to drive yield, but won’t know until a year’s time if we will have a commercial solution. These new opportunities are important growth contributors for our business, but the yield journey within corn, ethanol and biomass conversion will continue to be paramount for our success within a foreseeable future. That was all for me. I’ll now pass on the word to Benny for a financial update. Please, Benny.
Benny D. Loft: Thank you, Per and please turn to slide number 7. As Peder said, sales growth was in line with our expectation for the first half year. 8% organic sales growth translates into 4% growth in Danish Krone. The negative currency impacts stems primarily from a lower average US dollar, which, in the second quarter, is down almost 5% compared to last year. The other currencies that have had negative impact worth mentioning are Canadian dollars and Brazilian reais. We only hedge the US dollar, and we don’t have a natural hedge in these other places, so currency depreciation reduced top line and EBIT straightaway, and has a negative impact on margins. We have a significant negative impact from the BioAg Alliance on gross margin but managed to more than offset this, so the underlying gross margin has improved by more than 1% at this point. Stripping out the BioAg Alliance effect on EBIT margin, we deliver around 1.5 percentage points improvement. Continued productivity improvements in production, and beyond, and a favorable development in product mix make up about 1 percentage points. Higher other operating income add an extra 0.5 percentage point to that. These development have been strong, and are the factors behind us lifting the full expectation for EBIT and net profit growth. CapEx is slow in the first half as we have successfully managed to postpone some investment for this year. We now expect net investment to be at about DKK200 million below previous guidance. Mainly, this is an effect of lower CapEx in BioAg, where we have started by leasing a facility in North Carolina, instead of purchasing a facility. Furthermore, we have successfully pushed a few CapEx project. For the full year, this implies a CapEx level of around 6% of sales. So a bit under the 8% long-term target we have put out there. The postponed investments are still going to happen in the years to come so it’s more a timing issue than anything else. But we are happy that we can keep investment at this low level for now two years in a row. Expectations for free cash flow are increased by DKK500 million coming from in rough numbers DKK200 million from lower CapEx, DKK100 million from our changing in our cash management practice in China, and around DKK150 million more in cash impact from BioAg Alliance. That brings us to DKK3.8 billion to DKK3.9 billion free cash flow for the full year. The BioAg Alliance contribution, included in the guidance is now more than DKK1.5 billion and raised, among others, due to the positive networking capital development, which is temporary in the transition phase. Return on invested capital is adjusted to now around 22% as the expectations for the net profit have been increased. And finally, our stock buyback program, we are about halfway into the program and then try to return DKK2 billion to the shareholders via buybacks in 2014. And now, I will pass the word back to Peder for a wrap up.
Peder Holk Nielsen: Thank you, Benny. So, to sum it up, it’s been a good first half for Novozymes and we maintain full year sales growth guidance and we increase our expectations for profit growth. Our diversified platform shows it’s strength again, as outperformance in feed and bioenergy counterbalance softness in Household Care, BioAg and Starch. And our efforts are focused on enabling innovation and commercial execution to drive 10% sales growth in 2015 and beyond. And with this, we are ready to take your questions. Operator, please begin.
Operator: Yes, thank you. (Operator Instructions) And we have our first question is coming from Mr. Michael Rasmussen from ABG Sundal Collier. Please go ahead sir.
Michael Rasmussen – ABG Sundal Collier : Thank you very much and hello everybody. Three questions on ethanol, please, if I may? I’d like to start up asking Per about this new very interesting product innovation that you’re doing for first generation ethanol. And I think from looking at the chart, it looks like you can be out there add another 5% yield to ethanol producers, which is, of course, very, very interesting, even, before we have seen really competition coming on Avantec, etc. Now my question’s being can you give out a bit more detail what kind of pricing should we see you take for these new enzymes? Are we basically going to look into the same positive price mix environment as we have seen for Avantec, et cetera? My second question, also probably to Per, on that same slide. On biodiesel and sugarcane, can you do – can you add a bit more flavor here? Do you have the existing enzymes that you will tweak a little bit and they will do the same job? And also, can you talk something about where the industry is in terms of pricing per gallon, and just kind of a bit of a background, because, as I recall it, no enzymes are used today in these two production methods? And then finally a question on Beta Renewables, and the plant down in Crescentino I remember you, at the Capital Markets' Day down there, had a chart showing cash production costs, how they were at that stage at about $800 to $900 per ton. And then you had a chart showing that it should come down to about $500 to $600 per ton by the end of 2014. Can you just give us an update? Is that progressing downwards as expected? And where are you in terms of debottlenecking in Crescentino? Thank you.
Peder Holk Nielsen : Thanks very much for the questions. So we’ll let Per talk about the fascinating science we’re doing on corn and sugarcane and then let Andy talk about the pricing and Thomas can prepare the beta renewable answer.
Per Falholt: On the new product innovation, it is right that we are in a good position and there’s actually a lot of extra yield to go for. This will not be based on one product. We have one product out now, which will be take us part of the way. Also, as you have seen in the past with Avantec, Olexa and Achieve that they have been adding up to the 5% we have delivered. You could say that we envisage a number of product introductions to get to the next 5% and the first one being very close to market now. But that will only be part of the journey. Then when it comes to biodiesel, we have the enzymes. It’s about getting the product in a form, so it does give a commercial value, of course, both to us and to our customers. And that is what is being trialed right now together with selected customers. And when it comes to the sugarcane market, there, we are more on a new concept type of process where we work on also increasing the yield by adding a new functionality to the sugarcane fermentation process. And again, when we come to the pricing, I will let Andy comment on that.
Andy Fordyce: Okay. So when you look at what we do with our customers, we, of course, go in with these innovations and we show them the advantages that they can give compared to their alternatives. And then, we can very consciously look at what kind of bottom line contribution can this contribute for our customers if we’re successful with them. We take an approach in this where we say, well, we need our fair share to go ahead and fund the investments required and get a profitable return, so we price these according to the value that they generate. And that, I think, it’s most effective with customers that are in good control of their processes, and we can demonstrate very clearly how this bottom line effect occurs for them. Other customers, we have to tailor the value offering around their particular process. But from a pricing of new innovation, it’s all about the value it creates and how do we share it in a good way with our customers. 
Michael Rasmussen – ABG Sundal Collier: So, Andy, looking at the 5% yield enhancement, it's similar to Avantec, Olexa, and Spirizyme. It's not completely wrong to expect the same fair share in terms of price mix going to you?
Andy Fordyce: Yes. I mean, that’s certainly what we aim for is if we deliver another percent in yield, that’s every percent is worth the same amount, at least, depending on the market conditions and we price our new innovations according to that model.
Thomas Videbæk: And on beta renewable, as mentioned, over the summer, we have continued to see good progress in the debottlenecking of the facility. Progress is being made to actually move towards full capacity of this facility. But I think it’s too early to actually talk about sharing data on the production costs. We are still looking at the kind of route that we talked about at the Capital Market Day. But at this point in time, I’m not ready to share actual data from the facility.
Michael Rasmussen – ABG Sundal Collier: Right, okay. Thank you very much.
Operator: Our next question is coming from Mr. Lars Topholm from Carnegie. Please go ahead, sir.
Lars Topholm – Carnegie Investment Bank: Yes. A couple of questions on my side. On biodiesel, the products you are looking at, is that something you could potentially sell to the existing production capacity? And when you say a pilot solution, that doesn’t sound like the commercial product. So assuming trials are okay, what is a realistic timeline for a commercial product? And then, on your working capital for the quarter, you are reducing receivables by DKK103 million, and increasing payables by DKK164 million, which is quite impressive. I wonder how much of that is one-off, and I wonder when this might be reversed, if one-off means being related to this Monsanto deal? Thank you.
Per Falholt: Yes, hello, Lars. On the biodiesel, when we say pilot solution, because it’s being tested out there right now. We do believe that this fits into the existing process. There will be some modifications, which will need to be made. Again, of course, this is about making sure that the solution we have is making sufficient amount of value for us and for the producer. And I believe that this will – we will hopefully know this within the next 12 months. I’ll be very surprised if we don’t have clarified this within the next 12 months.
Benny D. Loft: And then the working capital. There’s no doubt – you are certainly right that we have had a very, very strong cash flow in Q2 and also correct, that the development is, to a very large extent, also linked to the Monsanto agreement. Just going a little bit back, one year ago, we had a discussion about the pre-order program last year, where the payment terms actually turned out in a way where we received the money in Q3 instead of Q2. So that there was changed before we actually signed the agreement with Monsanto. So everything being equal, we would have seen a positive impact on accounts receivable with or without the Monsanto agreement. So that’s one of the reason that accounts receivable is positive. And then the accounts payable, again, because we have a transition period with Monsanto, we are still doing the sales or the invoicing part, and still received the payment from the customers of the alliance. And those payments have been made roughly before end of June and we will transfer the money in the beginning of July to Monsanto. So that’s really the impact that we have seen, very positive impact in Q2. With those – and you also asked when will this end. Some of this, we know will not be there by year-end, but there might be – some of the impact could potentially also be there by the year end and also remember that there is a seasonality within BioAg. So the sales will be lower in the second half. And then, on the working capital in more general terms, we are looking into reducing net working capital to sales over the coming years. And I think we are quite positive about us being actually able to do improvements in the networking capital numbers. 
Lars Topholm - Carnegie Investment Bank: Thank you very much.
Peder Holk Nielsen: Benny, I just want to add that when you look at this bioenergy sector, then in our mind the most certain thing is the continued penetration with our current products, Avantec, Spirizyme, Achieve and Olexa. The next thing is the next 5%, 5.5% yield improvement in the current corn ethanol business, which I think we know a lot about. And we’re pretty confident that this can be done. And you heard Andy say that this is going to give us the same kind of pricing power as the current three products have done. Then, on top of that comes cellulosic ethanol. That's taking off, as Thomas talked about. There is still uncertainty in that business of course, but I think it’s taking off in a good way. And biodiesel and cane ethanol is kind of new leads, so we just want to let you know that it’s not stopping with cellulosic ethanol. We think there’s a lot of more opportunities in these bioenergy markets. Thanks.
Operator: And we have our next question is coming from Mr. Casper Blom from Handelsbanken. Please go ahead, sir.
Casper Blom – Handelsbanken Capital Markets: Thanks a lot. A couple of questions my side also. First of all, on the household care, could you elaborate a little bit on the innovation that you’re planning here for the second half of the year? And maybe also, a few words on how you can either stop the current down trading among consumers, or at least how you get a fair share of that trend. And then secondly, just to be sure that I understand correctly on your new CapEx guidance, should we, basically, view this as taking DKK200 million out of CapEx for this year and adding it into 2015? And then finally, I was hoping if maybe you could add a few words on the BioAg Alliance, what your learnings have been over the last couple of months, now that the corporation has progressed somewhat more. Thank you. 
Peder Holk Nielsen: On the Household Care innovation, we still have more solutions which will further give us larger penetration on biological performance. Meaning that the journey we have been on for some years that we get more and more performance obviously enzymes and larger proportion of enzyme being put in. So that's the near-term innovation we are having for Household Care.
Andy Fordyce: Right. So you asked about the down trading, of course, how our customers choose to compete in the market is decisions that they make. I think when we look at how we work on this, there’s two sides to this. One is if we can create solutions, and we’ve got, I think, a successful history of doing this, that help our customers differentiate themselves, that of course is a great way for us to contribute to our customer’s desire to position their premium products and of course get a premium price for those products. The other side of this is in a way the let’s say the mid-tier, premium tier positioning that occurs, there’s a positive overall trend. It takes a bit more time. But the overall trend is everybody is trying to lift performance. And that’s the other part of this that we look to customers that are interested in the performance enhancement, we help them design that for the particular product and position they’re shooting for. And as long as that trend in general is positive, that also gives us opportunities.
Peder Holk Nielsen: And I think that’s a very important point that we continue to see the same desires or demands from our customers in the Household Care space. There’s still an incredible interest in lowering wash temperatures there’s an incredible interest in replacing some chemistry. Enzymes go cheaper by the day and chemicals don’t, so there’s still this interest in replacing. And then of course you have the emerging markets that propels growth. And again, there’s not just one piece of innovation that goes into household care, there’s a bunch of innovation that goes into these three different, if you like care about from our customers. But with that, we’ll let Benny talk about CapEx please.
Benny D. Loft: So, as we haven’t really given any guidance for 2015, you would not really know where to add this DKK200 million roughly. But just to talk about the CapEx, when we are looking into this kind of reduced CapEx level this year, it’s not necessary that you can just add to next year around 8% I supposed that’s what you are thinking about. We are optimizing, looking into CapEx every day. And some of these will take place in 2015, and some will not. And, of course, we still challenge the 2015, what has to take place there. So, I think we are still aiming roughly to be around 8%. But again, we haven’t done everything link to CapEx programs in 2015. So it’s – I cannot really give a strong promise, but you cannot just add them to whatever number you have for 2015.
Thomas Videbæk: And then on the alliance, I think we are very encouraged by the speed we see this alliance getting implemented. We now have the entire organization in place, that means the Monsanto people have taken over the commercial part of the BioAg products. We have very, very successful move to 170 Novozymes employees into Monsanto. I think that’s gone a lot more smooth than we could have hoped for. And on an everyday basis, this is working very well, and actually to a large extent, better than we had hope for this early into the alliance. I think the fact that we are in the Monsanto Investor Day next week also illustrates that this is a very serious alliance, as seen by both parts. So we are very encouraged by where we are now. When I look at the R&D development, the long-term opportunities in this, the fact that we have manage together on 170,000 plots this year, I think is a very, very encouraging and probably more than we could have hoped for. We are still aiming at getting up to about 1 million in years to come. But the fact that we have managed to get on 170,000 this year, I think is very encouraging. And then as I mentioned, we have also seen already good results in some of these first year trials. That of course gives us hope that eventually this will turn out to be something that does revolutionize the way we work with biologicals in Ag; and that's what we set out to do when we initiated this alliance.
Casper Blom – Handelsbanken Capital Markets : Good to hear. Thanks a lot.
Operator: And we have – our next question is coming from Mr. Soren Samsoe from SEB. Please go ahead sir.
Soren Samsoe – SEB Enskilda: Thank you very much. Just two questions. First of all, again regarding the innovation in Household Care, I was just wondering whether you could tell us a little bit about how quick the uptake of this will be. Is it new products with your customers? Or is it you coming up with new enzymes? Or what is it? And then secondly a follow-up question regarding, the question on bioethanol, and the new innovation coming. I remember when you launched Avantec, I think you said that around 7 percentage points of the start was still left, but you could take advantage of with Avantec. How far are you on that journey? And with the new innovation sort of exploit the remaining part, and then there’s nothing extra left to use after that?
Benny D. Loft: So, I think on Household Care, if I take that one, then there is a specific innovation that comes into the marketplace. It’s being trialed. And it will come into the marketplace in the second half of this year. It’s not just one molecule, but there will be more molecules. And of course as we get into 2015, this journey will continue as I said before. I think we have to get used to that Household Care is an area where we’ll launch many, many, many new products every year. So it’s really an area where we have scaled up our – both our investments but also our capacity to deliver a lot of new different molecules for the Household Care customers. Peder, bioethanol, once again, please.
Peder Holk Nielsen: On the Avantec, I think that we are close to where – we know the yield which Avantec, Olexa and Achieve can give and that’s roughly 5%. We have another 5% to go for. So you could say, maybe if we said 7%, 8% when we launched Avantec that has turned into that, maybe it is 10%. So, we have become wiser over the years. And there’s more to go for than we initially thought. On the next 5% of course, will happen over a number of product introductions. And I cannot say exactly what the timing will be. For the full 5% estimate two to three years. After that I still believe that they are actually some fiber fractions we could go for which could further give us extra yield. So, I’m pretty convinced that there will be plenty for my sciences to dive into to find new solutions.
Soren Samsoe – SEB Enskilda: Thank you.
Operator: Our next question is coming from Mr. Joe Dewhurst from UBS. Please go ahead.
Joe Dewhurst – UBS: Hi, good afternoon. I’m sorry, good morning. I've got three questions. Just, first of all, again, back on the innovation front, and on first generation. Can you just indicate what you think the addressable market is for Spirizyme, and Olexa, and Avantec, and also with the new innovation? Could potentially this now be applicable to the whole of the first generation ethanol market in the US? In line with that also, from your competitors, do you see anything that's potentially being worked on, or innovated on, to try and close the gap between what you can deliver here? Then secondly, on the animal feed sales is if you could just give more indications on why you’ve seen so much strength in the Americas there. Is it a crop-price driven thing? Or is there effectively something else going on? And then finally, with the issues with starch and starch conversion, are there potentially some innovations that you’ve seen from the ethanol side that you could maybe apply across to the amylase on that side to help with customer yields that maybe would help that stagnant market? Thank you.
Andy Fordyce: Okay. So I’ll go ahead and take the first question. You basically asked how much of the market is addressable with these types of innovations, specifically in North America around corn. Theoretically the entire market is available for this. But I think that there’s a couple of things that we have to think about in this. One is these solutions create maximum value for customers that are open to innovation. They’re open to adjusting their processes to fit the maximization of the potential. And also have very good control over their processes so that they can discern the yield that comes out of it. Right now, as we’ve stated, about one-third of all US ethanol is used with at least one of these components if not multiple components. So that’s the early adopter segment that we see out there, where we’ve been able to get particularly fast traction with these things. But, of course the remaining two-thirds not in a pure form, but are theoretically available. And I think part of that comes from continuing innovation to re-excite the early adopters that Peder talked about. But working very hard commercially with the, let’s call them, the fast followers and the other segments that are out there to demonstrate this technology. It takes longer to penetrate. You can’t assume everybody will go to it because there are competitive offerings that offer alternatives. But there’s still a lot to go for with this. And I don’t think that that’s any different with the new innovation. I think it’s the same story. So we see more room to grow with what we’ve got. And we also see great potential with the new innovations.
Thomas Videbæk: If we look at animal health and nutrition, I think it’s important to say that ProAct continued to perform very well. And I think we have also, over the period, learned how to work with ProAct and how to show the benefits of ProAct, thereby securing a better hit rate in the trials we are doing. And I think part of that is what we are seeing in us getting better positioned in, especially, the Latin American market for this. We also continue to see good progress on phytase. We already talked about this is a very competitive market. But we are starting to see a good response to our latest launches there. And we are gaining back some of the positions we previously lost.
Benny D. Loft: And when we go to starch conversion, you are very right. There are synergies to be harvested between fuel and starch conversion. And actually earlier this year, we did launch a new product for starch conversion, which was part of the learning we had gained. And there will be more products coming which should make it a more competitive offering for the starch conversion. So there are synergies between these, and we do our utmost to harvest these.
Joe Dewhurst – UBS: Thanks very much. And just also on the competitor response with Avantec, as it stands at the moment, it looks like you're capturing quite a lot of market share, response from competitors that might slow that momentum? 
Andy Fordyce: Yes. We haven’t seen any, what I would call, fundamental innovation from our competition on this front. Of course, they’re taking what they’ve got and they’re doing incremental innovation in many different areas and trying to combine that in different ways to increase the value of their offering. But we haven’t seen this sort of me-too products following on. That’s allowed us to create more of a market for enzymes, and of course, step into that space that we’ve created. And we also are working with customers that aren’t currently our customers, but we hope to convert them over to our side of the sheet using this new innovation. So far, we’re still feeling like we’re in a good position.
Joe Dewhurst – UBS: Thanks very much.
Operator: Yes. And our next question is coming from Mr. Tobias Bjorklund from Danske Bank. Please go ahead sir.
Tobias Bjorklund – Danske Bank: Good afternoon, I had three questions. The first one is about new opportunities. And you talked about biodiesel and you show 7 billion gallons produced globally. So, in theory, would they all be applicable using enzyme technology? Or would it be a technology based on what’s kind of input they use. I'm asking, in a sense, how much of those 7 billion gallons would be addressable with enzymatic technology? The second question I have is also relating to fuel. You say that one-third of US ethanol use at least one product, or at least one of the new products that you launched. How many of the producers use at least one product, or more? And the third question I have is related to hyaluronic acid. How do you see this development? And where are we? I remember you had a target of triple-digit million DKK sales in, I think, it's two years or three years from now. Thank you.
Benny D. Loft: I think on biodiesel, it’s – as I said before, Tobias, it's one of the new areas we’re looking into. We have some good offerings that I think are competitive in parts of the market, in particular that part of the market where you use oil for the biodiesel that is of a lower grade, and therefore, cheaper. That’s a very good place to start. But it’s too early to really talk about how far we’re going to go. I think give us a bit more feeling with the market, and then we can start to talking more about whether it’s all 7 billion gallons that are in scope, or it’s less than that. That also goes for the pricing of the offering. I think we’re delivering significant value to segments in the market, and we need to penetrate that. But of course, we need to do more R&D work to really get to the full market and understand what the pricing would be if we got to the full market. And then I’ll let Andy talk about how many customers actually use these different technologies in fuel.
Andy Fordyce: Yes. I don’t think I have sort of an exact count in my mind. I mean, when you look at the way the market’s structured, there’s some very big producers who have many, many plants in their fleets. We work very, I would say closely with customers like that to get penetration as fast as we can. And as those jobs are done and we succeed, we of course, move into new customer areas where we can use our resources to show how this can create value. So about one-third of the capacity is using the technology. It’s somewhat less from an overall number of customers, because that is concentrated in at least a lot of the capacity is concentrated in the hands of some of the bigger guys. 
Benny D. Loft: And on hyaluronic acid, we don't have any news to report on this. We see slow progress, too slow I should say from a sales point of view. But we continue to see good progress in testing the products and seeing these tests to be carried all the way through. So when I look two to three years out, as we have talked about, there’s still this goal of triple million Danish Krones in turnover, and that’s what we are continuing to aim at. It’s not going to have any significant defect in any way on our 2014 results. As I said, this is taking a lot longer that we had hoped and, planned for, but we continue to see the market being there. And we continue to see progress.
Tobias Bjorklund – Danske Bank: Thank you.
Operator: Our next question is coming from Mr. Hans Gregersen from Nordea. Please go ahead, sir.
Hans Gregersen – Nordea Markets: Good afternoon. If you look on the 1T platform, where you mentioned the penetration of one-third, if I work the numbers, it turns around that you have a roughly 50% penetration among your existing customer base. Given your market insight, what do you think is a realistic potential and, as an end point, is it 75%, whatever? Second, more standard question, you mentioned a few quarters back that you are undertaking a strategic review of the F&B segment to accelerate growth. Can you give a status update? Thirdly, if we look on the bioenergy in terms of biodiesel, which was talked on before, as well as the sugarcane based ethanol production, can you give an indication of what sort of revenue per gallon potential you're looking at? Not saying what – how bigger markets penetration you will do, but just a revenue potential per gallon as an indication. And finally, you have upgraded significantly your free cash flow guidance, which means that your balance sheet will become even stronger. What is your position on further cash returns? Thank you.
Benny D. Loft: So Andy, the question was that with one-third of customers of the market using our technology, that would I think agree with Hans, that would translate to a bit over – a bit under 50% of our customers. So where is the end point?
Andy Fordyce: Well, when I certainly talk to my guys, it’s at a 100%.
Benny D. Loft: Okay. Yes.
Andy Fordyce: Sorry, we have one mic problem there. When I talk to my guys, we’re shooting for a 100% of our customers. And we’re in fact trying to convert the other guys customers over to our side. So, I mean, from a theoretical viewpoint, when you look at dry grind, that’s where this technology is used. That’s a big component of our overall business. There’s a small amount of wet milling and of course there’s the raw starch hydrolysis where these technologies don’t fit. But we’re also looking at innovations in those areas. Realistically, you'll start to see penetration slow because the early adopters have been – many of them have been converted, but we’ll start to work on that fast follower segment. And of course the more conservative ones might take more time, but they’re still out there. So how far can it go? I don’t know exactly, but we think it still got good legs.
Hans Gregersen – Nordea Markets: But could you answer the question another way? For (indiscernible) POETs, which have a different technology, and wet grinders, how much are they accounting for the total market, in your perception?
Andy Fordyce: Well, you mean POET itself? They have about 10% of the market. Okay.
Peder Holk Nielsen: Then on food and beverage – I don’t think we covered all Hans’s questions yet. On food and beverage, we were through a strategic revenue on all our main business segments this spring. And I think we are making progress on food and beverage. We’re also seeing growth rates come up a bit. So there is a lot of segments in food and beverage that I think in a steady good development. But there are also areas where we need to. I think there is an opportunity at least to look for more partnerships and try to see how we can get growth rates up. And really attempt to get our innovation model to work more directly with the market. So I think we’ve solved some of the issues, but we haven’t solved all of them yet. And then Per, you get another chance on biodiesel.
Per Falholt: Wasn't it the sugar cane? As I heard it at least – what I can say that revenue per gallon for sugar cane is a little bit too early to talk about. We know that we have some performance we can get in there. At this point in time, it’s too expensive. So what we will be doing over the next 6 to 12 months is to find a more efficient enzyme which would take down the cost of this to make it a commercial reality. So for the R&D organization in cane, it will be very much focused on taking the lead we have seen now, and put that into a commercial package which make sense for us and for the customer.
Benny D. Loft: And then free cash flow? So it’s better than expected. What we normally do is we have a discussed with our Board about how to, you can say, use our funds. And we will not have any further discussion with the board. We do not expect at least to have the discussion with the board this year. We have a program of buying back up to $2 billion and that’s remained. And then we will have a new discussion with the Board most likely in the beginning of next year.
Hans Gregersen – Nordea Markets: Thank you.
Operator: Our next question is coming from Fulvio Cazzol from Goldman Sachs. Please go ahead.
Fulvio Cazzol – Goldman Sachs: Yes. Good afternoon gentlemen. Just a couple of questions. The first one, on the gross margin, I was just wondering what has surprised you this year so far on the gross margin, i.e., have you been getting better pricing? Or has the value of your innovations been more than what you initially anticipated? Has the cost inflation been lower than what you anticipated at the start of the year? Or have you had more efficiencies? And if it's a blend of all three, if you can give us an indication of which ones have been more significant. Then my second is on the Russia sanctions. I was just wondering whether you have done any analysis on what the potential impact could be on your business. I guess, if Russia bans imports from Europe on meat and dairy, do you think that your feed business could be at risk there? Any insight you can have would be great. Thanks.
Benny D. Loft: And you mentioned a few of the impact on gross margin, there’s actually many more. But just to give what have surprised or so, I would say positively, is that we have – the yield improvement is even better than we have planned for. The pricing of raw material is better than planned for. And then, the currency is taking out a little bit because we didn’t plan for the currency in the way it has happened. And then just to say there are other elements like the product mix is having an impact. So it’s not that it’s only those three that you have mentioned, but at least those are the three that we have seen developing – yes, a little bit positive some of them, and a little bit negative.
Andy Fordyce: Yes. So when we look at Russia, it’s just one of those – it’s another thing that’s out there that of course adds additional uncertainty. But when we look at our business and we talk to our customers, we don’t see an obvious immediate impact of the sanctions, at least as they're currently articulated. I think the concern I get more from our customers is they’re worried and they’re potentially seeing impacts in the Russian economy, the Ukrainian economy, itself that impacts sort of the possibilities to continue the great growth. So it’s uncertain right now what might happened with the sanctions. We don’t see that as a big driver right now. But of course we’re watching it closely. You asked about the feed business, we don’t see that one is any different than the other businesses we’re in from a risk profile when it comes to Russia.
Fulvio Cazzol – Goldman Sachs: Okay. Could you give us an idea of your exposure to Ukraine and Russia, if you have that?
Andy Fordyce: Yes. Our exposure is relatively low. It’s below 5%. So again, from a number’s viewpoint, it’s also a smaller risk.
Fulvio Cazzol – Goldman Sachs: Great. Thank you.
Operator: (Operator instructions) We will go to the next question that’s coming from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander – Jefferies & Company: Good morning. Sorry, good afternoon, three quick ones. On the biologicals, are you doing field trials in Latin America? On the biodiesel, is the angle here the new technologies to help deal with free fatty acids? Or is this - or can you help list the main technical problems you're trying to solve? Then thirdly, on cellulosic ethanol, Beta Renewables seems to have a line of sight to guaranteeing economics on about - and they speak to about 200 million gallons of capacity by 2017. If that does proceed as planned, do you take on any performance guarantees? And, if so, how would you account for those?
Peder Holk Nielsen: On the field trials we are carrying out in BioAg, we are doing field trials across the world, including Latin America. And on cellulosic, you're absolutely right, that we have talked about 15 plants in 2017. And that's still what we see on the table. Each of these projects is a negotiation, where there are guarantees given. Novozymes is not, at this point in time, giving guarantees on the actual performance of the facility, but more on the performance on the enzymes in our test assays. And you can never say never, but that's how we would like to stick to it.
Per Falholt: And when it come to the biodiesel, then the offering we come with is that people can take lower grade oil in. And obviously that is to save cost and get a good product out of it. And for us, it’s about getting our enzyme to last as long as possible to get this conversion into maybe cost efficient manner. And that’s what we are trialing right now. So to give the producers ability to take low cost oil in and get an efficient process and high quality products out at a low cost. So that’s what we are working hard towards delivering right now.
Peder Holk Nielsen: And low cost is primarily high content of free fatty acids. So save on the purification cost before you get into the actual processing. I think we have time for one more question please.
Operator: Yes. And we have a follow up question from Mr. Soren Samsoe from SEB. Please go ahead sir.
Soren Samsoe – SEB Enskilda: Yes, just another question in first generation ethanol. It seems like DuPont is starting to get some traction with their total performance system, or whatever it is they call it, which, as I understand, is a multi-enzyme solution. Is this competing directly with your Achieve and – sorry, Avantec, and Spirizyme, Achieve enzymes, or is it something different? Secondly, can you feel – are they taking any share from you with this product? Thank you.
Andy Fordyce: Yes. It’s a combination technology where they take the different building blocks and they put it together in a value proposition and includes enzymes for the normal unit operations plus yeast that they’ve launched. I don’t think it’s direct comparison I would say to Avantec and Achieve and Olexa because it’s the building blocks that they’ve had combined with some new technology in yeast to create what they hope is a compelling offering to the customers from an overall viewpoint. I don’t see it is a fundamentally different way to compete from them and we’re competing all the time. So sometimes, we’re taking share from them; sometimes they’re taking share from us. This isn’t having any major impact on that.
Soren Samsoe – SEB Enskilda: But have you actually gained share with Avantec? Have you taken any customers from DuPont?
Andy Fordyce: Yeah. We’ve taken customers.
Soren Samsoe – SEB Enskilda: Okay. Thank you.